John Nesbett: Good afternoon. And welcome to the TOMI Environmental Solutions, Inc. Third Quarter 2025 Financial Results Conference Call. At this time, all participants are on a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to your host, Mr. John Nesbett of IMS Investor Relations. Sir, the floor is yours. Good afternoon. Thank you for joining us today for the TOMI Environmental Solutions Investor Update Conference Call. On today's call is TOMI's Chief Executive Officer and Chairman, Dr. Halden Shane, E.J. Shane, our Chief Operating Officer, and our Chief Financial Officer, David Vanston. A telephone replay of today's call will be available through November 28, 2025, the details of which are included in the company's press release issued today. A webcast replay will also be available on TOMI's website at www.steramist.com. Certain written and oral statements made by management of TOMI may constitute forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements should be evaluated in light of important risk factors that could cause our actual results to differ materially from our anticipated results. The information provided in this conference call is based upon the facts and circumstances known at this time. Please refer to our filings with the SEC, including our 10-Q for the quarter ended September 30, 2025, for a discussion of these risk factors. The company undertakes no obligation to update these forward-looking statements after the date of this call. Now, I will turn the call over to TOMI's Chief Executive Officer and Chairman of the Board, Dr. Halden Shane. Please go ahead.
Halden Shane: Thank you. Thank you, John. And good morning, afternoon, or evening to everyone from around the world. Thank you for joining us for TOMI Environmental Solutions Third Quarter Earnings Call. Today, we will share our third quarter 2025 results along with key updates and reasons we believe TOMI is on the cusp of a breakout. After a challenging start of the year, the third quarter marked a decisive turning point. We delivered a 95% sequential revenue increase driven by expanding recurring revenue streams and deeper customer engagement. A key takeaway from our third quarter performance is the increase in capital purchases of our mobile equipment as our service provider partners grew in number. This includes both well-known industry leaders and smaller, long-term players who are increasingly recognizing the value of clean tech and the superior advantages of our SteriMist IHP technology. Our vision remains steadfast: a future where sales of mobile capital equipment, IHP Corporate Service, our custom integration platforms, and, of course, our core BIT solution business model all grow in tandem. A new growth engine: recurring revenue. That's the theme. Building on the momentum, our third quarter revenue reached $2 million, marking a 95% increase over quarter two. This growth was driven by strong equipment sales and most notably recurring BIT solution sales, which have risen 21% year to date. In 2025, we placed significant emphasis on our existing customer base, ensuring implementation usage, and tailored protocol development for customers across all our industries. This focus has positively affected BIT's solution sales, which have seen stable and increased sales in each quarter. By sustaining this momentum, while ramping up capital equipment sales and successfully closing project bids for automation solutions, we will not only achieve our overall growth objectives but also enhance predictability, which is essential for scaling the business effectively. Another theme: momentum builds expanding pipeline and backlog. Our sales order backlog was $900,000 at the quarter end and grew further to $1.3 million by October 31, with approximately $3 million in pending integration contracts expected to close before year-end. Our active pipeline surpassed $15 million, encompassing both domestic and international customers across the industries we currently serve, as well as emerging sectors showing strong interest. These figures are more than just metrics; they signal the business opportunities we anticipate in the coming quarters and extending into 2027. Another theme: visionary markets beyond traditional boundaries. We are doubling down on investments in innovation and customer success. Our SteraMist IHP technology continues to gain industry recognition, this year being named the Disinfection and Decontamination Products Company of the Year 2025. Our platinum customer roster includes top-tier leaders across every sector we serve, further validating our solutions and positioning TOMI as a trusted partner in global health and safety. Regulatory developments are opening new markets. The FDA's broadened approval of hydrogen peroxide and our breakthrough demonstration of SteraMist efficacy against honeybee colony collapse position us to serve not only life sciences and healthcare but also agriculture, food processing, and environmental biosafety. The opportunity before us is vast, expanding the relevance and impact of SteraMist on a global scale. Strategic execution: laying the groundwork for 2026. To maintain and accelerate this momentum, as stated earlier, we are intensifying customer outreach through personalized engagement strategies, deploying targeted marketing campaigns that highlight real-world success stories, and forging deeper partnerships with key industry players. Our SteraMist Pro Certified program and learning management system are empowering the market with essential education while onboarding specialized service providers. We are also in the process of updating, improving, and adding to our training programs across all delivery systems. Looking ahead, heading into 2026, TOMI is sharpening its focus on biosecurity advancements that address evolving global challenges, from climate-driven health risks to supply chain vulnerabilities. We will prioritize scaling our automation integrations for high-efficacy environments, exploring untapped opportunities in sustainable agriculture and public infrastructure, and fostering collaborative R&D with academic and industry partners. This will empower us to deliver solutions that enhance environmental resilience, safeguard communities worldwide, and drive sustainable returns, ultimately positioning TOMI as the go-to innovator in a rapidly changing world. I will now hand the call over to our Chief Financial Officer, David Vanston, who will provide a brief overview of our financial results for 2025 compared to the same period last year. David?
David Vanston: Thank you. Thank you, Dr. Shane. In 2025, our revenue was $2 million, a decline from $2.5 million in Q3 2024, representing a 24% decrease in sales. This was primarily driven by a timing reduction in the quarter of IronHP services sales from a key customer who reorganized its operations. This impact is expected to be temporary, and the customer's operations-related service activity is expected to resume to a normal level in the near future. Importantly, year-to-date service demand remains robust, with quote activity and pipeline volume up approximately 35% year over year in the life sciences and food safety area. This trend supports our expectation for continued growth in the fourth quarter and beyond. For the nine months ended September 30, 2025, solution revenue was $760,000, an increase of 21% year on year as earlier stated by Dr. Shane, compared to the same period in '24 as we continue to drive recurring sales of solutions within our customer base. A positive point was our gross profit remained strong at 61% as a percentage of sales for the three months ended September 30, 2025, and for the same period last year. The consistency of our gross profit margin underscored the resilience of our product mix and disciplined cost management. For the three months ended September 30, 2025, we experienced an operating loss of approximately $320,000 compared to an operating income of $149,000 in the same period last year. Our net loss for the three months ended September 30, 2025, was approximately $450,000 or 2¢ a share, compared to a net income of $58,000 or 0 compared to the same period last year. As of September 30, 2025, our financial position includes cash and cash equivalents of approximately $190,000, working capital of $2.5 million, and shareholder equity of $2.2 million. I will now turn the call over to our Chief Operating Officer, E.J. Shane, to discuss the upcoming business highlights.
E.J. Shane: Thank you, David. Our previously announced active projects are currently on track for delivery by the end of the year, and we are currently negotiating an additional $3 million in custom and integrated contracts, with bids expected to close before the year-end. 2025 showcased TOMI's evolution into a trusted technology partner for regulated industries. Implementing experiments with agencies such as NASA and Fort Detrick alongside repeat orders from global leaders underscores SteraMist's position as a gold standard for contamination control. With major pharma companies investing in United States onshoring and sectional facilities, TOMI is ideally positioned to capture expanded opportunities in sterile automation systems. Automated, repeatable, and validated decontamination rooms and chambers remain in high demand as the pharmaceutical industry evolves. We believe our IHP technology is emerging as a benchmark for sterile environments, as evidenced by its adoption this year with premier companies. As of the third quarter, the onshoring of pharmaceutical production positions us favorably, specifically in Virginia for the next few years, particularly with major commitments from Merck, Eli Lilly, and AstraZeneca, who are establishing new production sites. As we build on the strong momentum we've shared today, the key question is obvious: How will we keep driving growth in BIT Solutions sales, IHP service, capital equipment, and custom integrations? As Dr. Shane noted earlier, our BIT solution gains come from growth in personnel and operations and better training for our current customers. We will keep this going to drive steady adoption and stronger reach in key sectors. We are nearly complete on updated training documents, rolling out a more comprehensive program that emphasizes ongoing recertification. This approach not only raises customer standards for implementation safety but also may generate additional revenue and deeper product adoption, strengthening TOMI's role as an essential partner. 2025 unfolded an essential chapter in TOMI's journey marked by breakthroughs that not only validated our recent innovations but also directly fed our pipeline of opportunities. It began in July with the installation and commissioning of our SISSA for a neighboring pharmaceutical company, which falls under our Ceramis Integrated System or SISSA platform of offerings targeting the pharmaceutical isolator market. A milestone that led to successful integrations into additional enclosures at Virginia Commonwealth University and the University of Miami, and a promising wave of future installations with both existing and prospective manufacturing partners. In the life sciences and manufacturing sectors, we see a powerful shift toward continuous bioprocessing, flexible facilities, and AI-enabled operations. These advancements demand decontamination solutions that integrate effortlessly with automation while minimizing downtime, precisely where our custom engineers system or CES excels, offering rapid, efficient sterilization to support production and operational efficiency. While our CES remains in demand due to its tailored approach, we recognize that its extended timeline from initial interest to full commissioning can be extensive. As the CES pipeline continues to expand, we are strategically prioritizing our hybrid and the SIS products, which offer faster close rates and quicker integration and implementation within facilities. This balanced approach ensures that all our custom automated advances at a comparable pace, with the hybrid and SIS lines serving as the ideal solution for automated integration segments, driving quicker revenue realization than the CES. Building on our Q3 momentum, August marked a significant step forward when our East Coast distributor, Aerie Science, helped us secure a new university client for our SIS platform, solidifying our presence in the academic vertical and opening doors to specialized applications in research environments. This progress carried into this week's ALAS conference. We collaborated closely with Aerie on promising upcoming projects and showcased our advanced product lineup alongside our enhanced engineering capabilities in programming and design. By engaging manufacturers of cage washers, decontamination chambers, and biological safety cabinets, or BSCs, we are expanding our partnership options for future integrations, strengthening our pipeline with diverse choices while positioning these collaborators as valuable resources to expand the SteraMist IHP brand and technology into high-potential sectors such as government agencies, universities, and animal research. Additionally, discussions with ALAS included a new potential representative company for the West Coast, as well as opportunities for complementary products that could generate fresh revenue streams by pairing seamlessly with our core technology. Stay tuned for updates on these developments as they might diversify our pipeline heading into next year. In healthcare, new initiatives like the Joint Commission's Accreditation 360 program, set to launch in 2026, may open new revenue streams for TOMI as well. The program will create a growing need for verifiable, auditable disinfection data, which SteraMist delivers through its advanced logging and reporting features, helping providers meet stringent standards and enhance patient safety. In quarter three, we celebrated a landmark addition to our roster of customers with a major player in the eye health industry. Bausch and Lomb rapidly adopted our mobile handheld surface units in two facilities in under four months and committed to open the solution orders for 2026, promising sustained revenue streams in a sector in need of advanced durability. In September, we made significant strides in capital equipment segments by onboarding a specialized service provider focused on healthcare and mold remediation, quickly followed by SteriClean and TAP purchasing mobile systems, with the latter expanding their thermos lines with foggers. We continue to speak with these three and other larger franchise service providers for a widespread adoption of SteraMist IHP technology across their networks. Our highly regarded SteraMist Pro Certified or SPC program continues to nurture a dynamic environment of partners and customers, enhancing implementation and long-term usage. Large contract cleaning, bioremediation, and restoration firms such as DareClean and TAC are scaling up their offerings to handle complex high-margin jobs in biohazard, mold, and mycotoxin cleanup using our advanced technology. This year has brought a transformative shift in our business development approach, with initial purchases of one or two units at select locations inspiring broader rollouts across entire organizations, a pattern that is starting to play out successfully in both the life sciences and commercial industry. To sustain this momentum, we continue developing these organic expansions, which is key to scaling our business and, of course, its model. A prime example is our growing relationship with Nestle, which is gaining traction, and they have expressed a strong desire to establish our technology as the global standard across their nutritional facilities worldwide. We have already deployed multiple Steripox to various branches internationally, setting the stage for substantial recurring revenue and further international growth. We continue to pursue the cannabis market under our food safety division, and quarter three sparked some significant interest domestically and internationally, opening doors to promising new partnership discussions. Our current distributor, Sterile Girl, continues to market and slowly gain traction, adding to the referral base and efficacy use data for the market. We have unofficially entered a collaboration with Smithers, the largest testing lab in the United States, which we expect to yield lead referrals soon and will soon begin a study in Morocco that positions us for entry into the European and African medical cannabis markets. A key quarter three highlight pertains to a regulatory change: the FDA's final order amending regulations to allow the use of hydrogen peroxide in food processing. This ruling is game-changing for SteraMist, validating our BIT Solutions food-grade hydrogen peroxide as the sole active ingredient and providing a clear regulatory framework with a competitive edge in the multibillion-dollar food safety market. By expanding applications beyond environmental disinfection to direct food-related protocols, such as in the ready-to-eat, or RTE industry, where convenience food like prepackaged meals and salads demand pathogen control, it positions TOMI to capture a significant share across the supply chain. With no residual concern due to SteraMist IHP's breakdown into oxygen and humidity, we can now disinfect equipment, processing lines, and facilities in food-present environments to target threats like salmonella, listeria, and E. coli, decontaminate packaging and storage areas to prevent cross-contamination, and sanitize transportation vehicles for end-to-end hygiene. This broadens our addressable market and drives revenue growth in high-demand sectors. Thank you, and I will return the call over to Dr. Shane for his closing statements.
Halden Shane: Thank you, E.J. We remain focused on strengthening our organizational foundation, enhancing our C-suite, management, and division leadership, building out our sales and technical teams, and expanding our network of global distributors. The third quarter marked a notable period of recovery and reaffirmed the soundness of our strategy. We are seeing steady improvement financially, operationally, and strategically. Our team is dedicated to driving growth and innovation across all divisions, leveraging our expanding portfolio of products and services. We are encouraged by the opportunities that lie ahead. Our sales backlog remains strong, and the sales strategy implemented at the end of last year is beginning to deliver promising results. We are motivated by the progress in our strategic partnerships and the growing interest from clients seeking to improve their operations with our solutions. With continuous investment in infrastructure, technical expertise, and a stronger sales strategy, we believe we are well-positioned for a successful fourth quarter with momentum carrying into 2026. I'd like to highlight a recent strategic milestone that positions us for sustained growth. On November 5, we entered into an equity purchase agreement with Hudson Global Ventures, giving us the flexible right but not the obligation to sell up to $20 million in common stock over a twenty-four-month period. Full details are in our Form 8-K filing. The agreement provides the flexibility for on-demand access to capital without upfront commitments or heavy dilution, helping us fund the strategies, goals, and momentum we have described today, including our business development needs, hiring customer service specialists, technicians, programmers, trainers, and operational support to accelerate our pace while maintaining our strong reputation with customers across the industries we serve. It will also enable us to expand on key initiatives, such as advancing R&D, regulatory pursuits, and market expansion, ensuring we seize opportunities in clean tech and biosecurity while creating long-term value for shareholders. Thank you for your continued support as we unlock TOMI's next era of growth. We're excited about what's ahead. Now, operator, let's open the call to questions.
Operator: Thank you, sir. Ladies and gentlemen, at this time, you'll be conducting our question and answer session. If you would like to ask a question, please press 1 on your telephone. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. Please pick up your handset before pressing the star keys. Thank you. Our first question is coming from Sameer Joshi with H.C. Wainwright. Your line is live.
Sameer Joshi: Hey. Good afternoon. Doc, David, E.J. Really good quarter. Congratulations on the nice turnaround and progress. One of the key things I think you announced was the FDA approval or clearance for the hydrogen peroxide usage. It opens the food, RTE, and prepackaged as E.J. outlined. What are your sales and marketing efforts towards this, and have you identified initial targeted customers that you would pursue?
Halden Shane: So it's relatively new, this approval. And we foresee that the food industry in itself, both whether it's in processing, storage, packaging, transportation, etc., can be a key marketing vertical for us. And I'm really excited about it because, especially our type of technology does not have any residue. And it's gonna be a game changer. But you know, in order to go ahead and tell you how much and who, it's a little too early, I think. And I find that a lot of the food companies themselves are not aware of the change. But things are changing in this industry. They're leaning away from old established disinfection and parasitic acids and things like that, and dips, etc., that they've been using. And our technology is definitely should be on top of their list as a choice.
Sameer Joshi: Yeah. No. It certainly makes sense for you. What you're saying. And I'm sure it will open up a big market. On the Q3 performance, again, as I said, congrats on the nice turnaround. The operating expenses were also contained, despite the nice revenue increase. Should we expect these operating expenses at the operating expense level as well as the gross margin level to continue to sort of improve financially?
Halden Shane: So for your model, I think your expenses are gonna increase. And, you know, I think they're gonna be positive in relationship to revenue. David might have something to add to this if you'd like, David.
David Vanston: Yeah. I think for the gross margin, you may get one or 2%, but nothing significant. Already seen that over the year on year, we're holding around the 60% margin. I mean, that helps us with the continuing solution sales that come in. So I don't expect our margin to be under too much pressure. But as Doc pointed out, if we're going to scale up, I would expect, you know, the revenue line will go up at the same time, but the percentage of the total operating expenses as a percentage of our total revenue will not significantly change.
Sameer Joshi: Yeah. That is what I was driving at because I did out the R&D efforts and initiatives. They will increase, but you will still have leverage, and the revenues are probably going to increase faster.
David Vanston: Yes. Correct.
Sameer Joshi: Got it. Last question, on the international front, I think you did mention Morocco, Africa. What kind of sales effort is in place? Do you have representatives in these countries? How should we think about how the sales are going to be realized?
Halden Shane: So we have different distributors in some of these countries that are focused on them. I think that a lot of our global partners, where we mentioned one in the food industry on the call earlier, is implementing this in many of their facilities globally. Similar to that, you see other types of partners that we have that have a global footprint in various countries that are interested in increasing their demand and use for SteraMist going forward.
Sameer Joshi: Yeah. Hey, Doc. May I squeeze in one more? Because I think you had pointed out that your capital equipment sales increased, I think that bodes well for solution sales in coming quarters. Do you have visibility on what kind of solutions sales you will see in the coming quarters?
Halden Shane: I don't. We, you know, again, think the first half of the year, we had about a 41% increase in solution sales over 2024. And in the third quarter, we were down to about, I believe it was in the mid-twenty 1%. So it averaged down a little bit. I think by the end of the fourth quarter, our recurring sales should pop up again because people wanting to get the solution in by end of year. And I think that's the key to this whole call is we get more technology out there. We do it via manufacturing, but also by increasing our sales and our sales strategies in these areas. And more equipment leads to more solution sales, which is the model that would drive a very successful business going forward.
Sameer Joshi: Thanks, Doc. Thanks for taking my question.
Halden Shane: Thank you for the questions.
Operator: Thank you. As a reminder, ladies and gentlemen, if you do have any questions, please press 1 on your telephone keypad. Our next question is coming from John Nelson, who is a private investor. Your line is live.
John Nelson: Thank you. Hi, Halden, and congrats to you and the TOMI team on the enhanced momentum that the company seems to be generating right now. I have continued to steadily add to my stock position since my latest 13G amended filing in July. So I'm very pleased with your results. And I know the efforts are superlative. So thank you.
Halden Shane: Thank you, John. Questions?
John Nelson: Oh, you're welcome. Questions. Is there anything updates you can give me on what's going on with servicing or trying to service the military and defense markets?
Halden Shane: I don't have one. Maybe E.J. has something to say about that.
E.J. Shane: Hey, John. Yes. This past quarter, a lot of our service was directly attributed to one key site. I can't really go into too much detail, but they are looking to replace formaldehyde and have been, and we're working with them. We did quite a few studies with them in Q3. We went there eight or nine times and had positive results. I don't expect that one to show a close before the end of the year, but we are definitely expecting it to be a pretty big deal in 2026.
John Nelson: Okay. Good. Thank you. Any updates on the CAR-T cell disinfection business?
Halden Shane: E.J.?
E.J. Shane: No, Doc. Don't think we have anything, sir.
John Nelson: Okay. You mentioned in the press release that you've now onboarded all three of the top major service provider companies in healthcare mold remediation? And I was curious as to any expectations that we should have for a rapid versus slow rollout by these parties?
E.J. Shane: So yes, and I know you've been asking. You know, it wasn't ServiceMaster, but bringing on SteraClean and Tact and this other group was definitely a big deal in Q3. Especially with their quick assessment to add more units pretty quickly thereafter their initial buy. They do have a focus more on biohazard and mycotoxin remediation, and we expect to really keep working with them and gain live case studies to be able to bring on the rest of their facilities and then, of course, additional franchises. So I do see a dramatic shift in our service providership. I think it's the way we've now outlined the way we train and support them with the program and the learning management system we offer to them. And we're a little more aggressive in the correspondence and staying up to date with everything they're doing. It is proving good outcome. I'd expect more.
John Nelson: Okay. Great. A lot of attention is being paid, and a lot of dollars is going to the data center market. Google just announced that they were planning on investing $40 billion in new data centers in Texas. So could you comment at all on any plans to try to penetrate the disinfection market for those types of facilities?
Halden Shane: Sure, John. That's one of our reasons that we are expanding and want to expand our sales teams. In multiple verticals, and that's one that makes a huge amount of interest and potentially success for us because they do need disinfection. They're large facilities. And we will handle their materials tremendously. So we are gonna work on that. We just do not have the employees at the moment to focus on that. And that's one of the reasons for capital needs and to increase our existing sales force.
John Nelson: Got it. And besides the data centers in planning stages for being developed, there's also the current existing market, and many of them are crypto data centers that are being basically converted to use by the magnificent seven.
Halden Shane: Yeah. So that's true. Oh, and last question is, on the FDA, you know, broadening the permitted use of peroxide in the food industry, and I was wondering if you could maybe give us a few more details on how you're increasing your awareness for that market.
Halden Shane: So we are doing it on social media. And we do have plans to increase it further. Like I said earlier, with the call from the analysts, we know who they are that need our product, and sometimes they don't even know they can use our product. So it's more in an educational mode at the moment. But I think that, you know, also in the medical supply, medical sterilization end of medical materials, medical processing, sites that have huge ethylene oxide sterilization. Our products are great replacements. So there's a lot of work. A lot of low-picking fruit for us to work at in those areas and those verticals. And as the team gets bigger and moves forward, we will be focused on them.
John Nelson: Okay. And in marketing, are you targeting the companies that have had problems in the past?
Halden Shane: Are you targeting companies first that have had problems in the past with infections and disease?
E.J. Shane: We are, John, but we did start our initial beginning point was to start with our current database and the correspondence that we have had with food safety customers, probably the past year and a half or two that couldn't come on board because, prior to the ruling, it had different restrictions for the EPA label. So we're now in correspondence with those with the new FDA petition and reaching out how to create protocols under that guideline. So we did start with individuals that we were already talking with.
John Nelson: Mhmm. Okay. Good. And then, one more that I just thought about is any progress or developments in the use of SteraMist for replacing ethylene oxide in the medical instrument sterilization market?
E.J. Shane: Yeah. I mean, those kind of go hand in hand. With under both accounts, in food and in medical device treatment. The other partnerships that we're starting to build in device manufacturing will also lead to that replacement being able to have IHP streamlined into different enclosures to decontaminate these devices. And another large machinery that's used in both industries. So it's definitely all being high prioritized and discussed.
John Nelson: Okay. Thank you very much.
Halden Shane: Of course. Thanks, John, for the questions.
Operator: You're welcome. Thank you. Ladies and gentlemen, this does conclude our question and answer session. So I would like to turn the call back over to Dr. Shane for any closing remarks.
Halden Shane: I just wanna thank everybody for joining us today and for the continued support. And we will be speaking at our next earnings call. Many thanks. Have a wonderful day or evening, wherever you might be.
Operator: Thank you, operator. Thank you, and thank you, ladies and gentlemen. This does conclude today's call. You may disconnect your lines at this time, and we thank you for your participation.